Operator: Thank you for standing by, and welcome to the Arafura Rare Earths Limited March 2025 Quarterly Report Investor Call. [Operator Instructions] I would now like to hand the conference over to Mr. Darryl Cuzzubbo, Managing Director and CEO. Please go ahead.
Darryl Cuzzubbo: Thanks, Harmony, and good morning, everyone. Thank you for making the time to join us today for our quarterly update. For those that are new to these calls, my name is Darryl Cuzzubbo, the managing director of Arafura Rare Earths. And, again, today with me is Peter Sherrington, our CFO. A lot has happened since our last quarterly update, both from an external market perspective and in terms of activities to secure the best possible pathway to fit that reward’s existing shareholders and opens up the best long term growth options for our company. Between Peter and I, we will make some comments on the external market, how we are progressing towards securing the equity ahead of FID, and the Traxys offtake agreement recently announced before opening to your questions. So let me start by summarizing how we see the external market. We’ve seen escalating trade tensions between the U.S. and the rest of the globe, but in particular China. On April, the U.S. imposed China specific tariffs of 36% on the imports of rare earth magnets. China subsequently announced plans to restrict exports of high-performance magnets and rare earth products on national security grounds with no specific country being targeted. This has created significant supply uncertainty for nearly 90% of the world’s high performance permanent magnets required for everything from everyday electronics to electric vehicles, wind turbines, robotics, and military equipment. We are already hearing a supply disruptions for ex China manufacturers such as Tesla, noting that their robot manufacturing is being affected. In response to this, The U.S. President signed an order directing the commerce secretary to begin a national security review, noting that the U.S. dependency on mineral imports raises the potential for risks to national security, defense readiness, price stability, and economic prosperity and resilience. Within 180 days, the commerce secretary is required to report his findings back to the president, including whether to impose further tariffs. It should be noted that the European Union has already stated some time ago that they will introduce trade restrictions through their Critical Raw Materials Act where no more than 65% of their needs can come from a single country. In conjunction with these developments, our federal government has announced plans to secure strategic reserves of critical minerals, including rare earths, which presents a potential mechanism that can be used to break China’s monopoly overpricing. It was in anticipation of circumstances like this that Arafura has held tightly to our ore-to-oxide rare earths strategy so that we can offer a meaningful alternative to China’s rare earths supply chain. If you look across the globe, we are uniquely positioned as a truly construction ready project that can bypass China’s supply chain. Given that we have secured the debt required, our only remaining step ahead of moving into construction is raising the required equity. I believe that our timing could not be better. With these developments, we should expect that there will be a bifurcation of rare earths pricing, creating the market opportunity for a seaborne based pricing system. The domestic rare earth prices in China should no longer be a functional representative price for a non-China magnet value chain. Importantly, Argus, a well-regarded independent forecaster, believes that a long-term incentive pricing of U.S. $163 a kilogram is necessary to create a rest of world NdPr supply chain that isn’t dependent on China. Now let me make a couple of comments on securing the required equity before handing over to Peter to talk through our recent Traxys offtake agreement, and then we’ll open up to questions. As stated previously, we have been targeting 50% to 60% of our equity to come from cornerstone investors before raising the remainder from institutions and the broader market, including current shareholders. This target of 50% to 60% is dependent on market conditions, which have been volatile, particularly given the recent uncertainty of the impact to the global economy of a potential trade war. Consequently, we have been pursuing the upper end of this target range. Earlier this quarter, we announced securing A$200 million from the National Construction Fund as part of our cornerstone investor funding. Following significant engagement and progress over the last quarter, we are confident in achieving our cornerstone investor equity target, and we are now in a position to be able to progress with multiple investor pathways to a fully funded solution. This is important. Having multiple pathways not only firms up securing the required funding, but also so that we can attain the best outcome for our shareholders and the long-term objectives of the company. Specifically, Arafura is assessing a potential joint venture structure, which could significantly reduce the equity required to fund Arafura’s remaining project interests. Given the need to evaluate the merits of multiple pathways as well as some potential cornerstone investors requiring additional time to progress through their internal processes and due diligence. FID for Nolans will extend beyond the previously advised window of the first half of this calendar year. We will update the market as material equity funding milestones are achieved in advance of announcing FID later this calendar year. We expect that as we progress the different funding solutions during this quarter, we will be able to provide more definitive guidance on FID timing. I do want to point out that we will only progress a funding solution that requires more time if it presents a better outcome for our shareholders and the long-term objectives of the company. Given this and the advanced status of our engineering, we have conducted an operational review. This has led to a reduction of project and engineering effort that will see our financial runway push out to the first quarter of next calendar year 2026. This decision does, however, mean that we will need to ramp back up the project and engineering capability post bid, placing up to an additional four months to the project schedule. We will use this four month ramp up period as an opportunity to retest market prices and retender where appropriate to ensure that the best possible capital outcomes for project are being achieved. I will now hand over to Peter to talk through the strategic importance of the Traxys offtake. Thank you, Peter.
Peter Sherrington: Thanks, Darryl. During the quarter, we announced and concluded a binding offtake agreement with Traxys Europe for a base amount of 100 tonnes per annum of NdPr. The offtake agreement has a five-year period. And at Arafura’s option, we can nominate up to a further 200 tonnes per annum of NdPr to be placed into the market with Traxys. For those who don’t know, Traxys is a global physical commodities trader, and it trades battery materials, industrial minerals, and has existing business in the rare earths sector and with other metals as well. We know that Arafura has been prioritizing offtake partners who bring strategic support to Nolans, and this is, in most instances, a link to equity investment. We know that the Traxys in offtake doesn’t bring equity, but it does provide us with some volume flexibility, which we felt was quite strategic. We, in effect, have a 100 tonnes per annum amount, but an optional amount of 200 tonnes per annum. The key here is that can assist us with managing variability in production volumes and delivery schedules that arise over the life of the initial off take agreements. We also saw some significant value in building a strategic relationship with a trading company who has a deep understanding of the rare earths market. And from that perspective, Traxys was a good fit. So whilst the volume was small, it doesn’t have a link to equity. It’s fairly strategic from a long-term perspective in building that relationship. And it’s also critical to us in that it provides us some optionality around a volume from 100 tonnes to 300 tonnes to placed with that off taker. And we were sort of very keen to get this arrangement locked in. And just Frank Richards, our sales and marketing manager, did a good job in structuring this off take and worked well with Traxys in order to complete the arrangement.
Darryl Cuzzubbo: So, Harmony, we might hand over to you for any questions coming through.
Operator: Thank you. [Operator Instructions] Seems there are no phone questions at this time. I’ll hand back to your speakers to address your webcast questions.
Brett Smith: What level of assurance or confidence can you give shareholders that FID will happen before the end of the calendar year?
Darryl Cuzzubbo: Yeah. So let me take that one, Brett. So that’s probably the million-dollar question. Right? So let me share with you what we’re doing around that. Right? And you can you can see this in the introductory, comments. So there’s a there’s a few parts to it. So firstly, we’ve engaged with multiple cornerstone investors more than what we need to secure, the equity that’s required and that gives us optionality. That gives us multiple pathways to get there. And with that, that gives us confidence to secure FID. And, and also by having different options, it gives us options to choose what is in the best interest of our shareholders in a long-term company. We’re confident of achieving FID for that for that very reason. If you look at some of the geopolitical events that has raised awareness around the importance of rare earths to the manufacture of permanent magnets and why you need permanent magnets. I know everyone on this call has been aware of that, but I think that awareness across the globe hasn’t been there. But that awareness is increasing rapidly, and that is very helpful for us. The other thing that we’ve got to take into account, though, is that many investors are, I’m going to say, somewhat sitting on their hands waiting to see what happens with this potential trade war. So the way we’re playing this is we’re engaging with that cornerstone investors more than what we need. We’re using the opportunity of this increased awareness of the importance of rare earths to engage with other parties so they’re ready to come in so that as the market settles down, we’re ready to move. Long story short, we’re confident of achieving FID because of that engagement. And as we achieve milestones, we will share that with the market so that you can see the progress that we’re making.
Brett Smith: If the current government is returned this weekend, does their promise of a strategic critical mineral stockpile present an opportunity for Arafura and additional offtake?
Darryl Cuzzubbo: Yeah. It does. It does, Brett. So I would make a couple of observations. So firstly, the strategic reserve is helpful in getting up a rare earths sector in Australia, including Nolan’s. And I think Nolan’s has a, you know, first cattle of the raid, has a significant role to play in that. If you look at the number one reason we don’t have a non-China supply of rare earths, it’s because of China’s control over the pricing. With the last 12 months, they’ve either been making marginal profits or have been losing money. So establishing a strategic reserve and offtakes, I think presents the opportunity to create a different pricing mechanism, which would obviously benefit us. I think the other reason for a strategic reserve, though, is it gives the Australian government additional clout at a time where trade patterns are being are being rewritten. But I also note that the Australian government has said that they would go through an extensive consultation process to make sure that this strategic reserve is used in, if you like, in the best long-term interest of Australian into rare earths sector. So there’s a lot to still be worked through there, but I think it’s a very positive development and is very timely for us.
James Lowry: How does AIU propose to mitigate construction costs with transport infrastructure to get Nolan’s product to Darwin Port?
Darryl Cuzzubbo: Yeah. So a good question. So firstly, our engineering is quite extensive. And why that’s important is because it locks down scope. So if you lock down scope, you have less surprises as you progress the project. That is a key driver of CapEx. The other driver of CapEx, of course, is the cost of that of that scope. And, we have developed commercial strategies and developing commercial strategies to make sure that we get the best competitive pricing. You’ll have noted that earlier I mentioned that, we will need four months to ramp back up our project team post bid before moving into construction proper. And we’re going to use that time to retest some of our pricing where we know that there is more capacity in the market and has a bit more competition than there was earlier. But just to answer your question, I mean, there’s a couple of key drivers to manage your CapEx. One is locking down the scope through advanced engineering, which we’ve done. And then secondly, having sourcing strategies that get the best potential pricing for that for that scope, which is what we’re doing.
Ronald Lomax: Linus has been in production for many years but has never been able to pay a dividend. How long does Arafura expect to be until they be profitable and pay a dividend?
Darryl Cuzzubbo: So what so we can’t talk to exactly what’s going to happen in the future. But what we can talk to is what we expect to happen and how we can help that happen. So the number one issue that the rare earth sector, including Linus, has been having to deal with is China’s control of pricing. That control will come to an end or be minimized when there is a when a number of things can happen. One, when a structural supply deficit happens, the pricing will naturally increase. And we’ve seen that in the past when there’s been, short-term supply disruptions. We’ve seen the pricing double to triple. If that had have occurred on a long term, Linus would have been paying dividends, I am sure. So if you look at the forecast of demand doubling over the next 10 years, and China’s ability to meet that demand, we believe and other forecasts believe there will be a structural supply deficit, and that will create a very different pricing mechanism. So that’s one trigger that will create a different pricing mechanism. The second thing that will create a different pricing mechanism is, and we’re seeing this playing out today, right, is when trade restrictions are being applied, whether that’s through restrictions or tariffs, and that creates a non-China pricing index. And this is where the Australian strategic reserve can play a very important role in creating a seaborne trade only NdPr index. What that means is China’s domestic production and, consumption of rare earth magnets is taken out of the equation, and therefore, you have a truly functioning NdPr index that reflects true supply and demand. Argus believed that in that sort of scenario, we would see pricing close to triple – long-term pricing close to triple of what we’re seeing today. The third trigger of a different pricing environment is, and I’m going to use EV buyers as an example here. Most electric vehicle buyers want to be a responsible part of the energy transition. A lot of the rare earth magnet that come out of China, it has been getting their feedstock from places like Myanmar, which have poor environmental standards, but poor human rights standards as well. As that becomes -- as awareness of that grows, I’d like to think that EV buyers will be more selective and demand that the supply of the materials that go into making electric vehicles is coming from responsible sources. So I’ve just talked through three triggers that will create a very different pricing environment that will then enable us to grow, pay dividends in the future, etc., etc. It only takes one of those three to trigger the sort of pricing environment, and we’re already seeing the second trigger, which is trade restrictions related taking place. So that’s why we’re confident that we will be a very profitable organization that’s able to grow and ultimately pay dividends.
Lee Birch: Could you please confirm whether the potential joint venture involves a single party or multiple parties? Furthermore, would such a partnership reduce the risk of further dilution for existing shareholders?
Darryl Cuzzubbo: So we’ll be able to share more when we’re at a position to share more. But one of the benefits, obviously, with the joint venture is that it significantly reduces dilution. This quarter, we will be assessing our different options as they progressed, and they do need to be progressed before we get to a point where we can assess what’s in the best interest of our shareholders. But one of the pluses with joint venture structure is that it reduces dilution.
Bernard Ho: How is AIU going with securing remaining binding offtake agreements? Is GE still in the pipeline?
Darryl Cuzzubbo: Yeah. Did you would you like to talk to that one, Peter?
Peter Sherrington: Yeah. No problems. So in terms of securing the remaining offtake, the issue is not so much around the requirement for the offtake. And I think some of the events that we’ve seen over the last couple of months since the U.S. tariff announcements have probably reinforced that view that there is a need for a non-China -- or a supply diversification. So I think that the challenge for us is that we are trying to link the remaining offtake to strategic equity. And we’re going to hold pretty hard on that because we believe that NdPr offtake is strategic, and we’re going to link the equity to that. And we’ll stick to that. That’s probably the challenge that presents to us around securing offtake. The second part of the question, so we’re confident we will get that, but we are probably making our work around getting the offtake more challenging by linking that equity to it. But it’s critical to the funding strategy which we’ve set out. In terms of GE, we have an ongoing relationship with GE. We have seen that, for example, GE has probably been not gaining market share in the offshore wind turbine business. That is making it difficult for them to make a commitment now to offtake, but we remain engaged with them on looking at ways that they may be able to commit to offtake as we start to close out the final offtake group. So whilst we don’t see them as one of the groups that we will be engaging with on the equity opportunities, we still engage with them on offtake.
Shaan Beccarelli: There are a number of questions coming through regarding the alternative funding solutions or potential alternative funding solutions. So I’m just going to lump them into to one question. Is there any more information you can share about the potential joint venture, and is the structure likely to be a 50-50 joint venture?
Darryl Cuzzubbo: Yeah. So I can’t share anymore at this point. Right? So I’m very mindful that there’s a need for additional information. And as soon as we can share it, we will share it. The reason for flagging it, though, is because in the past, we’ve been talking about our equity strategy, and we haven’t specifically flagged the JV structure. But that is a real alternative. But it’s too early for us to comment anymore at this stage, but we’re mindful that there is a strong desire to name more. And as soon as we can, we will share it.
Paul Stevens: Is Arafura seriously considering dysprosium and terbium geochemical processing capability?
Darryl Cuzzubbo: Good question. So our current CapEx does not include that. We’ve got processing capability locked in through third party to take the heavies to a oxide, but that is an option that we’ll always be open to and always be looking at. Peter, do you want to make any additional comments to that?
Peter Sherrington: Yeah. So in in the short term, as Darryl mentioned, we see some third-party processes and they’re in the right jurisdictions who have the ability to process that material, and we’ve had engagement with those groups around separating the DY and TB because we do get inquiries around those particular products. And again, we see them as strategic. And whilst they are not significant in terms of revenue, we probably see them as being important in terms of locking in those final off takers and equity providers. Yeah. But as Darryl mentioned, at present, our CapEx does not include the scope of separating those products. But I think ultimately, it’s something we would look to try and work through ourselves. But I think we would be up for our first challenge of producing NdPr on spec and rely on those tollers as an interim measure.
Roberto Versace: Are there any concerns in the change of government and whether the current government funding may be withdrawn?
Darryl Cuzzubbo: Good question, Roberto. So, so we’re not concerned about a potential change in government. I mean, parties are supportive. The opposition have said that they would support funding that we’ve already received. I would note that the current government has very welcome their support for the production tax incentive. That is that is helpful. And the current government has also raised the strategic reserve, and that that still has to be worked through on the assumption that they get reelected. But if you if you take a step back, the Nolan’s project creates significant employment, significant downstream manufacturing, across Australia. And consequently, we enjoy the support of both parties at both the Northern Territory and the federal level. So we’re not we’re not we’re not concerned.
Steven Darrington:
I:
Darryl Cuzzubbo: It’s too early to say. The Australian government has really just outlined at a very high level what they intend to do with the strategic reserve and that they will enter into a consultation process, and we look forward to participating in that.
Steven Allen: You mentioned retendering where appropriate. Can you advise what the potential criteria for doing that would be?
Darryl Cuzzubbo: Yeah. Good question. So, Steven, so the environment is a little bit different today than it was when we got the original tenders and we went for a process and selected our preferred tender. It’s we’ve seen our projects pulled back, some operations, nickel, cease or going to cease, and that’s created some additional capacity in the market. And we’ve had some tenders come back to us and said that if there is an opportunity, they would like to retender. So we will be selective in retendering where we think there is a benefit, mindful that we also don’t want to delay our project schedule as well.
Andrew Ballard: The Australian government supports stated interest free loans of up to a billion dollars. Is management engaging with the government on this opportunity?
Darryl Cuzzubbo: Peter, do you have any comments on that?
Peter Sherrington: No. I’m aware of the facility that the shareholder’s referring to. Sorry, Darryl. I mean, obviously, we’re engaged with the government on debt financing but there are some concessional interest rates on the facilities that we’ve secured. Some of them are referenced to commercial rates as well, but they’re all on interest payable on amortization basis. So, yeah, I can’t provide any comment. We can look into it further and provide some further comment if there’s something that we we’ve missed.
Darryl Cuzzubbo: It’d be great to if you didn’t mind sending through some details on that. If there’s something we’re not aware of, which would surprise me, but we would be very interested in pursuing that.
Nick Stott: Is Phase II a part of any offtake JV and or equity negotiations?
Darryl Cuzzubbo: Good question. So phase II is obviously a draw card because it presents a significant growth opportunity for any party. However, given that we’re not talking about a decision for phase two, it’s excluded from any binding agreements, but it’s obviously a draw card for investors and potential JV partners.
Bernard Ho: With the Trump presidency, do you see the US government potentially being part of any equity funding and or grant funding given their national security concerns?
Darryl Cuzzubbo: Bernard, so, good question. Right? So, again, I probably can’t say too much, but what I can say is that as we look for a fully funded solution and the if you like the U.S. is growing attention to securing rare earths supply, we’re certainly exploring avenues around that. But there’s nothing that’s at a point that we can be definitive about at this point.
Operator: That’s all the written questions for now. So, Darryl, I’ll pass back to you for closing comments.
Darryl Cuzzubbo: Okay. So, look, thank you everyone for again for your time, and for your questions. Any follow-up questions, please send them send them through. Let me just make a couple of concluding comments. Particularly the last few months, the importance of developing a diversified rare earths and permanent bag supply chain has been thrown into sharp focus by recent geopolitical events. Arafura’s Nolan’s project remains the only significant construction ready, auto oxide rare earth project in the world, offering the potential to bypass the dominant Chinese supply chain. We continue to make significant progress executing our equity funding strategy, which is the final piece to put in place before making a final investment decision. Following the initial cornerstone investment from the National Reconstruction Fund, we’re confident securing a cornerstone investment target with multiple pathways to get there. Our timing is fortuitous, but we have the right project at the right time. I’d like to thank you for your time for dialing in, and we look forward to providing you updates in the near future. Thank you.
Operator: [Operator Closing Remarks].